Operator: Ladies and gentlemen, thank you for standing by. Welcome to Radian's First Quarter 2018 Earnings conference call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] And as a reminder, the call is being recorded. I would now like to turn the conference over to Emily Riley, Senior Vice President of Investor Relations.
Emily Riley: Thank you and welcome to Radian's First Quarter 2018 conference call. Our press release, which contains Radian's financial results for the quarter was issued earlier this morning and is posted to the Investor Section of our Website at www.radian.biz. The press release includes certain non-GAAP measures, which will be discussed during today's call, including adjusted pre-tax operating income, adjusted diluted net operating income per share, tangible book value per share, services adjusted EBITDA and a new measure this quarter, adjusted net operating return on equity. A complete description of these measures and their reconciliation to GAAP may be found in press release Exhibits F and G and on the Investors Section of our Website. This morning you will hear from Rick Thornberry, Radian's Chief Executive Officer and Frank Hall, Chief Financial Officer. Also on hand for the Q&A portion of the call is Derek Brummer, Senior Executive Vice President of Mortgage Insurance and Risk Services. Before we begin I would like to remind you that comments made during this call will include forward-looking statements. These statements are based on current expectations, estimates, projections, and assumptions that are subject to risks and uncertainties, which may cause actual results to differ materially. For a discussion of these risks, please review the cautionary statements regarding forward-looking statements included in our earnings release and the risk factors included in our 2017 Form 10-K and subsequent reports filed with the SEC. These are also available on our Website. Now, I would like to turn the call over to Rick.
Richard Thornberry: Thank you Emily and good morning. I'd like to thank each of you for joining us today and for your interest in Radian. As we reported this morning, we achieved excellent financial results for the first quarter with a 15% ROE and an adjusted net operating ROE of 17%. We continued to grow our insurance and mortgage portfolio with an increase of 10% year-over-year which is the primary driver of our future earnings. These results reflect the success of our business strategy, the strength of our customer relationships, our financial strength and flexibility, the value of our high quality $204 billion insurance portfolio and the performance of our outstanding team; I'm pleased to say that we are well positioned for 2018 and beyond. This morning I'd like to provide you with an update related to the industry landscape which I know is top-of-mind for many of you as well as how the strategic shift we are making positions us well for the future. After my remarks, I will turn it over to Frank to cover the financial results. As I've gotten to know many of you over the past year, I've come to better understand your support of and interest in Radian given the fundamental strength of our business and its enterprise value as well as your concerns particularly regarding our MI business and industry. These concerns have been fueled by recent competitive news and I'd like to take some extra time this morning to put these concerns in context and attempt to provide you with a balanced view of the strategic and financial implications of the changes occurring in the market. From what I've heard from investors, there are three important concerns that have been top-of-mind; future capital requirements under PMIER's 2.0, potential encroachment by the GSE's like the Imagin pilot program and mortgage insurance price competition. I will address each of these separately. First, let me discuss the future capital requirements under PMIER's 2.0. Almost three years ago PMIER's established a strong, consistent and transparent capital framework for our industry which serves as a foundation for more granular risk-based pricing across the industry. As a result of the increased capital requirements under PMIER, CMI's are significantly stronger counterparties as all MI's are required to maintain adequate liquidity and claim span resources, understand the significant stress scenario. We have successfully operated under and complied with the current PMIER's and are actively reviewing and working with the GSE's and [indiscernible] under proposed changes related to PMIER's 2.0. Based on what we know of the proposed changes today, we expect to be able to fully comply and maintain an excess of available access over minimal required assets as of the expected effective date in late 2018. We've been anticipating this update to PMIER's and therefore been using proposed changes to inform our pricing decisions and capital planning. We believe we were well positioned to incorporate the expected changes to PMIER's 2 into our business model. Second, I would like to address the concern related to potential encroachment by the GSE's. Last month indiscernible announced a new pilot program called integrated mortgage insurance or management. This program was being marketed by Freddie Mac as an alternative way for lenders to deliver loans to Freddie Mac with greater than 80% LTD. The program transfers 100% of the mortgage insurance risk through a non-PMIER's intermediary called indiscernible reinsurers. Since the management was announced, there's been speculation that Fannie Mae will follow with a similar program which has further fueled investor concern for how programs of this kind could impact our MI business going forward. It is important to remember that this program is currently a pilot that is focused on the lender paid mortgage insurance, or LPMI market which is both a limited portion of our business today and a product that we have materially reduced over the past several years. At Radian we are not participating in any of programs as we question the long-term viability and depth of the market to support this particular structure which is dependent upon a panel of reinsurers who have not been tested at a first loss position or through a mortgage credit cycle and can easily exit the market at anytime for any good reason. Given the strong PMIER's framework that the GSE's, FHFA and MI industry have worked together to implement over the past few years, it seems counter-intuitive that an alternative mortgage insurance program, our first loss risk of high LTD loans would be designed to leverage non-PMIER's entities with less transparent counterparty capital framework. We believe this is also important to put in perspective that the current pricing difference is for Imagin and LPMI is almost entirely driven by the higher capital requirements that MI companies are held to under PMIER's and the GSE's current life of loan cover requirements for LPMI versus a ten-year term under Imagin. We have highlighted this product difference to the GSE's and FHFA in an effort to align the products to level the playing field between Imagin and LPMI. There should be no doubt that we expect competition and the Imagin RTMRT program as simply another form of competition. We fully support the need for innovation in this industry but we do not believe the Imagin RTMRT is scalable, sustainable path forward. We believe the mortgage industry with strong PMIER's capital framework in place and a uniform master policy provides the GSE's and mortgage lenders with a group of strong and reliable through the cycle counterparties with a transfer to first loss credit is associated with ILTD lending whereas insurance companies have also proven highly efficient distributors of risk through reinsure and other forms of credit risk transfer, which provides the protection of a regulated PMIER's compliance per running capital structure between credit risk, transfer investors and U.S. taxpayers. We have strong relationships with both GSE's, our teams continually work successfully together across many fronts including seeking opportunities to improve the current mortgage insurance product and processes. We are also working with our customers to develop innovative solutions to ensure first loss mortgage risk. We believe we are well positioned to continually innovate by leveraging our deep understanding of each customer from a quality and performance perspective, our proprietary risk analytics to improve operational efficiencies and support the certainty of coverage to all parties involved in a transaction and our strong PMIER's compliant capital base. At Radian, we will compete for all mortgage business that mortgage insurance business that meets our portfolio indiscernible requirements and creates shareholder value. Now, turning to the third topic, I'd like to address mortgage insurance price competition. The MI industry has always been a competitive one making competition a perennial concern among investors. Recently two other mortgage insurance companies renounced reductions in their borrower paid monthly premium rates. It's important to note that despite the price competition we cited at our latest 10-K filing and that our competitors have described as a reason to adjust pricing, we grew our MI business volume year-over-year including our volume and makes the borrower pay monthly indiscernible . At Radian we expect to continue to generate strong through the cycle returns for our shareholders. We continually evaluate our competitive position and we'll make adjustments to our pricing that we believe are necessary. And any pricing changes will be consistent with our capital deployment and portfolio management strategy which is focused on maximizing the long-term risk adjusted economic value of our insurance portfolio. As I said earlier, we are well positioned to compete for all mortgages for our business that meets our portfolio management targets. We will remain disciplined and are willing to differentiate from the competition if warranted. We are monitoring and evaluating the competitive environment particularly where certain MI companies are making changes to their standard rate indiscernible . We expect to announce our response to the recent actions by competitors in the near-term. Net/net, for the business that beats our portfolio advancement targets we will not put ourselves at a competitive disadvantage. I believe it is also important to remind you that the greatest benefit from tax reform relates to the increased value of our insurance portfolio which is a permanent change in value and is not impacted by any future pricing adjustment. At Radian we have a $204 billion -- we have $204 billion of insurance in-force which is one of the largest high quality portfolios in the industry. The portfolio is highly valuable and is expected to be a significant driver of our future earnings. Regardless of any potential pricing changes impacting returns on the new business, the tax rate change has a meaningful benefit to our existing portfolio and the future earnings that it provides. Additionally, the value of this portfolio provides us with significant strategic financial flexibility in terms of developing opportunities to further enhance returns and reposition capital for strategic use. Now I'd like to spend a few minutes on why we are different in terms of how we strategically approach our business and how this uniquely positions us on the path forward. Over the past year we made an important shift in how we manage our business and indiscernible core competencies including risk management, diversified product set, customer service, capital strength and financial flexibility. This shift has happened in three primary ways. Strategically integrating the business into one -- into a one-company model, driving increased economic value through effective portfolio management, diversifying our business across mortgage and real estate services. Let me first talk about how we redefine Radian as one company. We have quickly evolved to integrate the enterprise to operate with a shared purpose, values and strategy across the organization. We have not only made the shift internally but we are making the shift externally regarding how our customers view Radian's capabilities. As I mentioned to many of you when I joined Radian just over a year ago, I was surprised to learn that key industry leaders I knew and spoke to, many of them were loyal Radian customers, were not aware of our unique ability to offer a broader set of products and services across the mortgage value chain. We set out to change that with the launch of our enterprise sales strategy. I'm pleased to report that Brien McMahon and his enterprise sales team have created significant momentum including establishing a growing sales pipeline across our core mortgage real estate title products and services. This internal and external one company model is comprehensive and expands well beyond enterprise sales. Today our one company approach impacts almost everything we do, I'm pleased to say, that we're beginning to see the positive results of this effort. Second, we've defined our, redefined, our approach across our insurance business which includes our mortgage insurance products and alternative credit risk solutions to be a portfolio management model with a focus on growing long-term economic value of the indiscernible portfolio. We are leveraging our core risk management competency and indiscernible of proprietary data and analytics platforms in order to drive future earnings by deploying capital across our high quality and profitable mortgage insurance business including alternative residential mortgage credit risk infrastructures. With the MI and risk services business under the leadership of Derek Brummer, he and his team work continually to optimize the risk/return profile of our portfolio deploying customer and operational analytics, frameworks to inform our decision making and enhance the overall effectiveness of our portfolio management. At Radian we evaluate the long-term value of existing and future business by using our economic value approach. Our methodology projects lifetime net cash flows for insurance policies offset by the estimated cost of required capital to arrive at an economic value. This methodology assists us in evaluating opportunities including various portfolio strategies. By using this long-term economic value framework, we were able to manage our business, portfolio and capital, the right way through a disciplined analytical approach. We execute our economic value driven portfolio management model combined with our differentiated customer analytics framework to grow our business with the right customers writing business that produces attractive risk adjusted returns for our shareholders. As you can see from our success already in the business in 2017, as well as our volume in the first quarter of 2018, this approach allows us to effectively compete and win business. I should note that we accomplished our growth this year and last while actively managing our client base including shifting volume from lower value to higher valued mortgage insurance business. As portfolio managers, we continue to strive to strive to compete through the creation of high quality -- during high quality portfolios generating long-term sustainable economic value versus focusing on low value volume to grow market share. In a competitive environment this capability is a strategic imperative and it's highly valuable as we make strategic pricing and capital allocation decisions. Again, simply stated, it is our objective to effectively compete for all business that fits our portfolio management products. And third, we are diversifying our business through the strategic expansion of our services business across our mortgage, real estate, title products and services focused on driving sustainable and recurring revenues. We are refining that indiscernible our product set offered across our services business to align with the needs of our customers going forward. We are digitally enabling our products and services by leveraging technology and data to drive our business and deliver against the future needs of our customers. We are leveraging the entrepreneurial spirit of a FinTech business combined with the industrial strength that our scale and distribution provide with the goal to evolve this business towards the industrial strength FinTech business model. We believe this is a winning combination and will drive future value for our shareholders. In February, Eric Ray joined our team as Head of Technology and Transaction Services. This new role was created based on the strategic importance of technology and digital delivery to our businesses and to create strategic oversight over the transformation of our services products. With his broad financial services and technology experience, Eric brings a fresh and valuable perspective to our team. As part of the execution of our diversification strategy, last month we announced an acquisition of a Entitle Direct, a relatively small but indiscernible strategic acquisition for Radian. It's state licensing and geographic focus expands our customer reach and title services on the core services products. Radian title services can now serve a broad and growing network of more than 1500 mortgage customers and 20,000 realtors across the country. So net/net, I believe that we are well positioned for the future with the right strategic focus, with the right team in place to execute our plan. This indiscernible fueled by our strong customer relationships, a highly valuable insurance portfolio that is expected to produce significant earnings in future periods, our core expertise and managing progress a diversified set of products and the financial flexibility capital strength to compete, grow and diversify our own resources, serve our customers and create even greater value for shareholders. Now, I'd like to turn the call over to Frank to review our financial results.
Franklin Hall: Thank you Rick and good morning everyone. To recap our financial results reported earlier this morning, we reported net income of $114.5 million or $0.52 per diluted share for the first quarter of 2018 compared to $0.03 last quarter and $0.34 in the first quarter of 2017. Adjusted diluted net operating income per share for the first quarter of 2018 was $0.59 and an increase of 16% over the fourth quarter 2017 and 60% over the same quarter last year. We have also highlighted our return on average shareholders equity this quarter, both on a reported basis and adjusted net operating basis to illustrate the profitability of our enterprise. During the first quarter we had reported ROE of 15.1% and adjusted net operating ROE of 17.1%. I'll now provide some detail of the key operating elements of our performance. I'll start with the key drivers of our revenue. Our new insurance written was $11.7 billion during the quarter compared to $14.4 billion last quarter. This [indiscernible] quarter decrease of 19% is consistent with expected seasonal patterns so we did enjoy a healthy 16% increase over the $10.1 billion written in the first quarter of 2017. In fact, our first quarter 2018 volume is the highest first quarter volume we have had in over a decade. Further, our mix of new production continues to shift toward a higher concentration of monthly premium business as monthly premium NIW was up 22% year-over-year while we had a 3% decline in single premium NIW over the same period last year. This quarter has the highest share of monthly premium volume in over five years. Also, consistent with our recent strategic focus on shifting our mix of single premium production, the lender pays, the borrower pays, our first quarter lender paid single production decreased from 23% to 16% of NIW year-over-year and conversely, our first quarter borrower paid single share increased from 2% to 5% year-over-year and we would expect to see continued growth in this product category. On a gross basis before reinsurance, single premium policies represented 21% of NIW in the first quarter of 2018 compared to 25% in the first quarter of 2017. On a net basis, after our 65% sessions for insurers, our retained single premium percentage was only 7% in the first quarter of 2018. The new business we are writing today continues to consists of loans that are expected to produce excellent risk adjusted returns and the net retained mix of our business continues to be outstanding. Primary insurances indiscernible increased to $204 billion at the end of the quarter, a 10% increase over the same period last year. It is important to remember that the indiscernible portfolio is the primary source of our future near-term earned premiums and as such is expected to generate future earnings that are not reflected in the current period financial statements nor is it reflected in our reported book value but it is expected to be recognized over time and future periods. Persistency trends remain positive and our 12- month persistency rate was relatively flat at 81% in the first quarter 2018 compared to 81.1% in the fourth quarter of 2017. Our quarterly persistency, however, increased significantly from 79.4% in the fourth quarter of 2017 to 84.3% this quarter due to the relatively low persistency rate reported in the fourth quarter of 2017 due in part to the increased cancellations associated with our ongoing servicer monitoring process for single premium policies. The first quarter of 2018 did not have any materials, anomalous activities that would impact persistency. Our direct in-force portfolio yield increased slightly to 48.7 basis points this quarter compared to 48.1 basis points last quarter as seen on Slide 11. Our primary direct in-force portfolio deal has been relatively stable over the past several quarters as the mix of new business we are writing today has expected yields that are roughly in line with our current portfolio deal. Net premium yields, which include the impact of single premium policy cancellations and ceded premiums under our reinsurance arrangements, are also presented on Webcast Slide 11 which shows the components of our net premium yields over the most recent five quarters. Single premium cancellations related in $12.3 million of direct earned premiums this quarter compared to $21.2 million in the prior quarter and $10.4 million in the first quarter of 2017. This decrease in single-premium acceleration on a indiscernible quarter basis is primarily attributable to the fourth quarter 2017 servicer monitoring process mentioned earlier and accounts for the decline in our net premium deals as compared to last quarter. Net premiums earned were $242.6 million in the first quarter of 2018 compared to $245.2 million in the fourth quarter of 2017 and $221.8 million in the first quarter of 2017. The decrease from prior quarter was primarily due to the decrease in single premium cancellations as well as the slight increase in ceded premiums due to our enhanced reinsurance on single premium policy. An increase in monthly premiums substantially offset these effects in the first quarter of 2018. This 9% increase from the first quarter of 2017 was primarily attributable to our insurance in-force growth particularly with regards to monthly premium policies. Total services revenue for our mortgage and real estate services segment decreased to $34.2 million for the first quarter of 2018 compared to $40.7 million for the fourth quarter of 2017 and $40.1 million in the first quarter of last year. This decrease was expected as we continue to evolve our business to create more sustainable recurring revenue sources. Our services adjusted EBITDA margin for the first quarter of 2018 was approximately 1.4% and included restructuring charges of approximately $0.5 million. We continue to expect the services adjusted EBITDA margin to be in the 10% to 15% range by the second half of this year. We also continue to expect our annualized run rate revenue of between $150 million and $175 million beginning in the second half of 2018. Turning now to our loss provision and credit quality. As noted on Slide 15, during the first quarter of 2018 we had a reduction in our loss provision on current period of default as compared to the fourth quarter of 2017. This decline primarily related to the reduction in the number of new defaults during the quarter and a reduction in our default to claim rate on new defaults. Given the continued improvement in tier rates, we again reduced our estimated default to claim rate on new defaults that are not in FEMA designated areas. The average default to claim rate applied to new primary defaults received in the quarter was approximately 9% which reflects recent observed trends and seasonal patterns and compares to 10% in the fourth quarter of 2017 and 11.5% in the first quarter of 2017. Historically, new default notices received in the first quarter have cured at higher rates than subsequent quarters and we have considered this pattern in developing the estimates of the quarter. We believe that if observed trends continue, defaulted claim rates could fall as low as 8%, although the timing of this decline is difficult to predict. Excluding the new notices of default from FEMA designated areas associated with Hurricane Harvey and Irma, the total number of new defaults decreased by 11.4% compared to the fourth quarter of 2017 and 2.5% compared to the first quarter of 2017. We expect most of the new defaults we have received between September 2017 and February 2018 in FEMA designated areas secure within 2018 at a higher rate than non-FEMA designated area defaults. So we assigned a much lower estimated claim rate to these new defaults. And therefore these incremental defaults did not have a significant impact on our loss provision. We have observed a significant increase in cures on hurricane related defaults since December indiscernible 2017, please see Slide 17 for further details on the default activity in FEMA designated areas. We segregate our new defaults between our pre-2009 and post-2008 portfolios on Slide 17. As our post-2008 vintages received the default years which are typically in years four to six, we are seeing an expected increase in default activity at a very low rate. Also noted on Slide 17, the number of new defaults in our post-2008 portfolio decreased in the first quarter of 2018 as compared to the fourth quarter of 2017 as the impact of new default notices indiscernible designated areas associated with 2017 hurricanes reached its peak impact in the fourth quarter of 2017. Overall, the performance of our portfolio remains strong with positive trends continuing. Further evidence of both a strong credit profile and business written after 2008, which is now 92% of our primary MI risk in-force including hard loans as well as greater predictability around the pre-2009 portfolio. Now turning to expenses. Other operating expenses were $63.2 million in the first quarter of 2018 compared to $66 million in the fourth quarter of 2017 and $68.4 million in the first quarter of 2017. As for future expense expectations, we still expect that our total other operating expenses for 2018 would not exceed our 2017 expense levels and that we will achieve positive operating leverage such that our revenues will grow a faster rate than our expenses. For the first quarter of 2018 revenue increased modestly primarily driven by a 9% increase in net premiums earned while other operating expenses decreased by 8%, both as compared to the first quarter of 2017. These results are consistent with Radian's strategic objectives of increasing operating leverage through revenue growth and disciplined expense managing. Details regarding notable variable items impacting revenues and restructuring and other exit costs may be found in Exhibit D. Moving down to taxes; our effective tax rate for the first quarter was 19.6%. The difference between the statutory rate of 21% and our effective tax rate for the quarter of 19.6% was primarily due to the impact of discrete items such as accounting for uncertain tax positions. Our expectation for our 2018 annualized effective tax rate before discrete items is approximately the statutory rate of 21%. As Rick previously mentioned, the greatest near-term impact of tax reform is the instant and permanent value creation related to our existing insurance enforced portfolio. Subsequent to quarter end, Radian was notified that the joint committee on taxation had no objection to the terms of the companies previously disclosed proposed settlement with the IRS which we now expect would occur within the next several months. While the expected impact of the final settlement will reduce Radian's available holding company liquidity by approximately $35 million, the company expects to recognize in the second quarter a net positive impact to tax expense, net income and book value of approximately $0.14 per share. This estimated benefit is primarily related to the lower than expected interest accrued on the tax efficiency and the impact of the re-measurement of the companies deferred taxes due to the enactment of tax reform under the fourth quarter of 2017. This amount does not include any potential related benefit from the impact on state income taxes which has not yet been determined. We also anticipate that we will receive back approximately $54 million of our $89 million on deposit with the IRS. During 2018, the company purchased 531,013 shares of common stock in the first quarter for approximately $10 million and an additional 924,720 shares in the second quarter for approximately $15 million. This is a clear demonstration that Radian is committed to providing shareholder value through a prudent use of its capital and by being opportunistic and forward-looking in its management thereof. As we have previously disclosed, our current share repurchase authorization of $50 million with $25 million remaining, utilizes a value-based 10b5-1 plan with premium indiscernible that are based on predetermined criteria. This allows us to purchase shares throughout the authorization period where the predetermined criteria are met. And finally, under PMIER's, Radian guarantee had available assets of $3.7 billion and our minimum required assets were $3.2 billion as of the end of the first quarter 2018. The excess available assets over the minimum required assets of approximately $526 million represents a 16% PMIER's cushion. We have also noted on Slide 21 our current PMIER's excess available resources on a consolidated basis of over $900 million which if fully utilized, represents 29% of our minimum required assets. I will now turn the call back over to Rick.
Richard Thornberry: Thank you Frank. Before we open the call to your questions let me remind you that we achieved excellent financial results for the first quarter with year-over-year growth of 50% [indiscernible], 60% for adjusted diluted net operating income per share, 4% for book value per share and 13% for tangible book value per share. We made progress in repositioning our services second for sustained growth and profitability and also to grow mortgages indiscernible portfolios 10% year-over-year which is the primary driver of future earnings. Now, operator we would like to open the call to questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Mark DeVries with Barclays.
Mark DeVries: Yes, thank you. Rick, can I take your comments that you expect to announce a response in the near-term to the pricing adjustments to mean that in the coming weeks we should expect that you will announce that you're moving the rate card down to effectively be in line with what MGIC and Genworth have done? And if that's the case, would you expect this to kind of represent a new pricing equilibrium that you think the industry kind of coalesces around?
Franklin Hall: Yes, thanks Mark. You know, I think as we think about what's happening from a pricing point of view as we disclosed at our 10-K, we've been observing some selective discounting across the market and obviously we've seen the news from the two other competitors where they're making adjustments. By the way, these of which are exactly the same from a structural point of view and so we, as we do continually, we've been very responsible, very disciplined and deliberate about how we're thinking about pricing going forward. If you back up just a bit on kind of post tax reform pricing, I think as you saw, returns go up on that business into the low 20's, I think it's safe to assume that in the long-term those -- that pricing is not sustainable on new books of business, obviously we had the permanent adjustment on our insurance in-force portfolio, this material, right? So I think it's -- today we're evaluating all of the different actions that are taking place in the industry. I mean, our expectation is to take a very disciplined and deliberate approach about how we think about how we structure pricing going forward across our business and we expect to announce something in the very near-term. I do think as we look at our business and where we expect returns to settle down on new mortgage insurance business, we're taking into account what we know of PMIER's 2 today and looking at competitive pressures, we still think this business is going to generate mid-teens returns going forward which we think is very, very attractive from a shareholder value creation point of view and so this -- we will kind of come forward with our changes. I think we're going to use this as an opportunity to really be thoughtful from our risk return and really looking at the changing risk dynamics that are occurring in the marketplace to be a little bit more thoughtful about how we reflect on adjusted pricing going forward. So the answer is, stay tuned, we will be coming out with our thoughts here soon.
Mark DeVries: Okay, fair enough. And then on this Entitled Direct acquisition, is that just an agent or are they actually an underwriter?
Richard Thornberry: So they actually are an underwriter, their licenses are as a title insurance underwriter across -- I think their licenses go across 40 states if I remember right which expands our footprint, license footprint, in combination with Value America, we refer to as those businesses under our Radian title services. This is with the opportunity to withstand our footprint and deliver business across, I think, 46 states in total including the District of Columbia, including California and all of the other -- I think it's probably a significantly high percentage of the total mortgage business done across the country. So I think we really look at it as a geographic expansion opportunity at a very low highly accretive cost.
Mark DeVries: Okay, would you expect this to be, you know, a foothold in a longer-term build out of that business because as we see from covering the title insurers that there's a pretty dramatic difference in margins between the larger scale players and the smaller players.
Richard Thornberry: Yes, and I would agree with that. I think -- look, we believe providing a titled products and settlement services to our customer base, remember we're very different than some of the other -- even some of the large players out there given the scope of our relationships across the market. I mentioned we have 1500 lender relationships and we're in everyday, you know, from the top of the house, extremely organization, different than the traditional title insurance company lender. Secondly, we have 20,000 realtors we do business with everyday so we have a lot of distribution to bring the title product and some of those services to the market across, right? So I think we look to leverage that number one. Number two is we're not here about building the past, we're very much focused on how we build the future and how we visually enabled the delivery of the title product and settlement services so that the nice part of where we are is we have kind of a fresh canvas to start from and I think as we're moving our business forward we're being very thoughtful of how we want to develop the base upon the future of the market versus what is embedded in the past with some of our assignments. I see us being -- taking the opportunity to really distribute title products and settlement services much more as a contemporary, you know, forward-thinking provider as opposed to one trying to build what's been done in the past. I think that will allow us to achieve greater margins and I think leveraging our distribution gives us a strong competitive advantage from which to start. We don't expect to grow this business to the level of some of the other players are at today overnight but I think given our market position, the capabilities we bring, to think about how it can be done and should be done leveraging our technology and our people and they're joining the team I think is a big part of that. I think we're well positioned to kind of design the future as opposed to the past and leverage our distribution and do that and grow the business silently and--
Operator: And we have a question from the line of Douglas Harter with Credit Suisse.
Douglas Harter: Thanks, can you talk about your holding company and liquidity and kind of what are the required -- what are the levels that you want to hold there and kind of your willingness to kind of accelerate the stock repurchase maybe beyond the $25 million that's remaining?
Franklin Hall: Sure, this is Frank. So thank you for that question. You know, as we think about capital liquidity planning it really is through a couple of different lenses that we evaluate our position and so as you think about share repurchase for instance, it's in the context of a broader capital plan which takes into account agency dues, we still remain committed to returning to investment grade and reducing our leverage overall so we've got some balancing factors there. And as it relates to holding company and liquidity in particular, I think one of the most significant accomplishments that we've had recently is just the -- entering into the credit facility that we did late last year which gives us tremendous flexibility as a holding company from a liquidity standpoint. And we also demonstrated an ability to move liquidity among the legal entities for the surplus noted last year which increased our PMIER's cushion at the operating company -- so I would say taking into account all of those different points and considerations, you know, it's really hard to set a target and it really is, I think, in totality even the context of those objectives. So as I say, where we are right now, it's certainly a very comfortable level. We may encounter an opportunity to either increase or decrease perhaps a little bit over time but the general level that we're up, at right now, feels like the right level in the current landscape.
Douglas Harter: And I guess on that moving liquidity across legal entities, is there any thought or what's your appetite for looking to kind of institute a dividend from the MI subsidiary up to the holding company?
Franklin Hall: You know, that is certainly something that we consider when we're doing our capital planning. I think the hard part about that now is in the context of PMIER's 2.0 and getting just more certainty and more certainty around that. The other thing that's important to remember is -- holding company liquidity is also that we have an expense interest in tax sharing agreement that allows us to really cover the operating policy of the parent companies through that predetermined arrangement, preapproved arrangement. So, yes --
Operator: And we do have a question from the line of Bose George with KBW.
Bose George: Good morning. Just wanted to go back to the comments you made on the premium yield. Did you say that the new premiums are roughly in line with the 47-ish that you guys have on the existing book?
Franklin Hall: That's correct. Yes, so if you look at Schedule 11 or Slide 11, the import portfolio deal is actually 48.7 and that has been relatively stable over the five quarters presented and we do expect that to be relatively stable for the foreseeable future in some of the [indiscernible] a slight decline in those outer years but yes, we do expect to see some stability there.
Bose George: Okay, great. Thanks and then actually when -- the comment you made about PMIER's and how it sort of impacts your pricing positions, you know, as you make that division, or do you assume PMIER's comes in at kind of the high end of -- or at the range that was proposed in what you've seen and then I guess to the extent that it comes in better I guess that's a better return over time?
Richard Thornberry: Hi Bose, this is Rick and yes, I think you know, we as a community really try to take into account all of the different factors including what we know PMIER's 2.0 today. So to your point to your question I think it came in better than expectations obviously that would be a benefit and, you know, as we've said, there's a good dialogue between the M&A industry and the GSE's and hopefully this will all come to [indiscernible] over the course of this year but we've taken into account, as we know it today.
Bose George: Okay, great and then actually just on the default to claim, just to clarify, so that 9% number is that sort of the number going forward, you know, until something changes?
Franklin Hall: So this is Frank, the way that we describe it is that is approximately 9% in the first quarter taking into account both the continued improvement in the credit behavior of the portfolio but also seasonality and so between those two factors it's roughly split as far as what drove us from a 10% down to approximately 9%.
Operator: And we do have a question from the line of Sean Dargan with Wells Fargo.
Sean Dargan: I'm wondering if you have any thoughts on whether the FHFA would opine if the industry were to cut pricing further such that returns were at a point where they were below tech -- where they were pre-tax reform? And the reason I ask is I seem to remember a few years ago when there was a fears of a price war that the FHFA made their concerns known. Yet this time around they've effectively allowed competitors to undercut the primary MI's on LPMI and those competitors are not subject to PMIER. So I'm just wondering if you think there would be regulatory pushback if industry pricing were to be cut further from where some of the competitors have level set?
Richard Thornberry: Hi Sean, this is Rick. Let me just take that and maybe Derek can add to it as well. But I think there's really two questions in there. I think one is relative to how FHFA might respond to any further price cutting and I think in that regard I think they probably want to view the stability of their private party through the MI industry as one that provides stability and has -- continue to have strength and is making decisions that are going to create risk to taxpayers. So I think, you know, that's probably the lens they look through. I think probably investors would kind of react possibly more quickly than say FHFA but I say certainly probably something on their radar. I think the other -- it's not something we hear generally in our conversations that are really rightfully focused on making sure the capital structure is right to make sure the MI industry is consistent credible counterparties. Back to your second comment about the competition say from the Imagine program which I commented on earlier. I think one of the things to highlight is that you know, really kind of having this alternative structure come through, we could certainly talk about that at length, I think the competitive aspect to it is really quite interesting because as I mentioned in my comments, almost entirely all of the cost differential relates to the difference in both product characteristics, right? The combination of PMIER's capital [indiscernible] versus non-PMIER's entity. Also the length of loan coverage of our LPMI product versus the ten-year. So on the surface those are very different products; much more like some of the other products that have kind of fixed lives or lives that can be -- end earlier than the life of the loan. So I think when you look at kind of program, we're actively talking to FHFA and the GSE's about those differences but I don't really think of that as a -- I think that's more of a capital arbitrage, a product arbitrage; it is a competitive advantage. Kind of outright competitive advantage.
Derek Brummer: From a competition perspective, I mean, there's always been competition in the industry so that's not new and the important thing to keep in mind, you've seen tax reform and as Rick pointed out, that reflects not only our books but the returns on the current business and so someone had to see some competition around the edges but you're seeing it computed down to still a level where we see returns, returns in the mid-teens is very attractive so the idea that the FHFA would get involved and at least be at level with competitions, no I don't see that, the competition that you're still seeing is on return levels that are extremely attractive.
Richard Thornberry: Yes, I think when you look at this business and I think we want to kind of be very transparent about this, we think our business, even with all of the different competitive dynamics going on today, we think this is, you know, where your insurance business levels kind of a mid-teens business, our business, obviously levered returns, you know, higher than that. But, you know, kind of overall generating an ROE in this business also in the mid-teens and I think part of the reason why we brought forth the ROE measure this quarter was a 15% GAAP ROE of 17% adjusted operating ROE to sort of reflect the strength of the earnings, you know, kind of organically and just on a -- where we sit today and I think as we're kind of evolving not only the combination of the portfolio but really expect our pricing to settle out through all of the changes; competitive, PMIER's 2, all of the other dynamics we've looked at from a risk adjusted point of view, we think this is going to remain highly attractive, you know, strong value creation business relative to the cost of capital.
Sean Dargan: Thank you. And if I can just a quick follow-up just regarding your decision process with share repurchase. Your shares have obviously come off quite a bit but they're still trading above book value per share. So, is -- I mean, are you trying to -- do you view this as the highest returning use of that excess capital? I'm just trying to figure out if this is something to drive EPS growth or what you're comped on if you can just help us think about how you view repurchase?
Franklin Hall: Sure, this is Frank. You know, what we've said historically and remains true today is that we will be opportunistic about how we approach our share repurchase. We said previously that we do have a 10b5-1 plan in place. The terms of that plan are not public but we did report the activity to date as we've done today. So -- and as I said previously in response to another question, you know, we do view it in totality and in the context of our capital plan in the first uses of capital. So there is -- as of today, $25 million remaining on the current authorization which expires on July 31. So, hopefully that's helpful.
Richard Thornberry: And I might just jump in and add to Franks comments. If you really look at our company today and you look at kind of where we see value in this business, obviously we don't think book value is reflective of the value of this firm. I think as we look at kind of the value of what is inherently in our portfolio going forward and kind of going forward growth of our mortgage insurance and services business, we see significant opportunity and significant value in our company from a growth perspective and so I think as we sit here today we take into account certainly all of the different value components that are part of our business and how we think about that relative to where our [indiscernible] is.
Operator: And we do have a question from the line of Chris Gamaitoni with Compass Point.
Edward Gamaitoni: Thanks for taking my call. You stated that you think returns will exceed economic, the cost of economic capital, how do you view your cost of economic capital?
Richard Thornberry: So how do we view it? I mean, I think we view it a lot of different ways and coming out at it from a risk perspective, looking at the kind of risk across our different portfolios, different categories of insurance, you know, different types of risks that we take. We have a very quantitative approach to evaluating the risks we're taking across our portfolio looking at it, you know, and it is fairly broad sector, I don't know Derek if you want to --
Derek Brummer: Sure so when you're looking at returns and when we're seeing those we are talking about that in terms of PMIER's capital. So when we think about economic capital and what we're looking to do is trying to find the optimal portfolio when you look at the differentials between how we might do it from an economic capital perspective or kind of a projected loss perspective under various scenarios versus the PMIER's required capital. And so what we're attempting to do is then optimize the returns on that basis kind of looking at both of those factors.
Edward Gamaitoni: And like are you willing to disclose what you believe your cost to capital is or what level of return you would deem inappropriate for the risk you're taking?
Richard Thornberry: So that's something that we don't disclose I think in terms of -- you know, we're looking at obviously it's all based on PMIER's as kind of our binded capital and all of the sudden you start looking at it across also economic capital allocation. That's not something we disclose. I think the returns when we see this business going forward, that I mentioned really reflect PMIER's 2.0 forward and how we think about pricing and so we think the returns are highly attractive to the risk that we're taking going forward; where we expect our business to allow it, kind of in the mid-teens, are we mid-teens on new business from [indiscernible].
Edward Gamaitoni: Okay, and just one follow-up. In your comment about your response to the pricing actions taken by two competitors, am I right in understanding that you may have an approach that is more selective about which types of credit risk you may want to be more -- let's call it more favorably or more competitively priced versus others instead of just matching like for like?
Richard Thornberry: Yes, I think -- so for us we're very being very disciplined, taking a very thoughtful approach to it. We do think that there's an opportunity to think about a risk across the spectrum and how it's priced. And I think until we're ready to announce our approach we'll just kind of kind of complete our analysis and then you'll hear more from us in the near-term. Going back to your previous question about returns, I mean, it's safe to say that we see returns well in excess of our costly capital. So we think that's really where true economic value is created in this business for shareholders. So, just again, try not to mix your questions up, I'll have to go back and make sure to state that as well.
Operator: And we do have a question from the line of Mihir Bhatia with Bank of America.
Mihir Bhatia: To start if I could just follow-up on the comment on premiums and what competitors have done. Now, one difference between the two who have announced is you know, there has been a little bit more, I think, adjustments for gold borrowers and DTI's and things like that. So, is that how you see the industry developing for the way you continue to get the last price evaluate -- I think the last price adjustments we saw narrower FICO bands now we're seeing more adjustments for more and more -- more granular adjustments, is that how you see the industry developing further and is that something we should be thinking about or -- I'd just like your reaction to that.
Derek Brummer: This is Derek. I mean, it's not to say exactly what the industry will do or competitors but I can say from our perspective and Rick touched upon this is we take a risk-based approach. So is it that we see characteristics at a loan level or at a lender level, and that impact expected performance of the portfolio then we would move in a direction of trying to instill that in the pricing of the risk we're taking under the portfolio. So to the extent that we see that, you know, we move towards kind of more risk-based and putting in place kind of more granularity, it's something I could see us shifting towards.
Richard Thornberry: I would just add to Derek's comments, I think just to reemphasize, leveraging our risk-based approach in line with kind of how we view the economic value creation across our business and our portfolio. We expect to compete very well through the business that fits our portfolio management targets and by the way, we think a significant amount of the business in the marketplace today fits those characteristics and we want to be -- you know, I think it's a [indiscernible] to the industry to be thoughtful about kind of how things are evolving from a risk point of view and we just want to be a very disciplined portfolio manager in regards to how we price and list across our portfolio.
Mihir Bhatia: Okay, thank you. Can you -- any changes to your industry -- to your NIW expectations for the year after this quarter? I think you had mentioned around $50 billion at last time so I just wanted to check.
Richard Thornberry: Yes, so thank you Mihir. I think you know, we're only in the first quarter and I think so we're going to stick to our guidance of approximately $50 billion of NIW for the year. We see the mortgage market is really being very positive right now for the MI business we're obviously -- we're seeing mortgage lenders feel the impact of lower volumes, with volumes kind of expect the year-over-year to decline 7%. But the key for our business is we see purchases across the market growing 6%, year-over-year and we're three to five times more likely to have an MI policy on the purchase one then we are on a refinance as we've said in the past. So we think it's a very good strong growing environment for the MI industry and so I think we're sticking to our guns and we'll see how the year develops, you know, we see our business performing very well and we're pleased with where we sit but I think at this point we're going to stick with--
Mihir Bhatia: Got it, thank you and then just finally on services, obviously it's a little bit more restructuring charges, it sounds like the goal. But can you remind us, what are your expectations for run rate EBITDA or revenue just once you're through some of these restructuring charges this year?
Richard Thornberry: Yes, so great question. So I think the restructuring expenses are 100% in line with what we projected back I think at the end of the third quarter. So I think we're on track with that. Number two is we have said in the second half of the year of 2018 that we'd expect the run rate for the services business to be between $150 million and $175 million of revenue with 10% to 15% EBITDA. And we continue to feel very good about that and continue to move towards that. So I think that the guidance we've given before continues to be the guidance.
Mihir Bhatia: Great and then just one more thing, just on premium yield if you will. They've obviously been pretty stable between 48 and 49 basis points over the last year and is that just a function of the mix has become -- you know, you've added for example a 97% LTV business and that's held it up? Because I guess wouldn't -- just from the last round of price cuts, the pressure it would seem would have been for premium use or decline but that obviously hasn't happened as much.
Franklin Hall: Yes, this is Frank and I think if you'll recall a few quarters back we started to guide for a gradual decrease and we have not seen that materialize and it is due to the shifts that we've seen in production.
Operator: And we do have a question from the line of Jack Micenko with SIG.
John Micenko: I wanted to go back to, I guess it was maybe Doug and Sean's question on the buyback, and maybe ask it a different way. Market caps come in about 30%, close to book value now, you're probably going to grow book at least $4.00 over the next 18 months. Net debt to cap is low 25%, the balance sheet is in great shape. I guess my questions is why not be more aggressive on the buyback and the point there being, you know, are we looking for more clarity around 2.0 on PMIER's before we maybe become a little bit more aggressive? Is investment grade maybe more important at this point than buybacks? It seems to me like a more aggressive step here would be accretive to returns all else equal anyway.
Franklin Hall: Yeah, this is Frank and great question John, I appreciate that. The -- you know it is one of those things that is used in the full context of capital planning. That is the highest and best use of our capital is to support or organic growth of our very high quality, very, very profitable NIW. So we want to make sure that we have the full resources available to us to support that primary objective first. That being said, you know, the rest of this as far as the share repurchase first, you know, I think we should acknowledge that we're mindful of utilizing the tools such as the repurchase program and have demonstrated the willingness to do it over time. But it is really in the totality of the capital planning and all of the known's and the unknown's that exist on the expected path forward. So, really all I can say is what I've said around that and [indiscernible] what the plans for the 10b5-1 are?
John Micenko: Okay, fair enough. On that plan is there an expiration on the 10b on the programmable side or would a new board authorization trigger a change from something that's maybe more automatic, even something more subjective on your part?
Franklin Hall: Well the 10b5-1 plan is intended to be automatic so far as we set predetermined criteria for shares to be purchased in the market and that allows us to be in the market for a longer period of time during the period of authorization. Our current authorization expires on July 31 this year and again the repurchase program, whether or not we have an authorization in the amount of it, the terms of it etc., are part of our capital planning exercise--
Operator: And we do have a question from the line of Geoffrey Dunn with Dowling & Partners.
Geoffrey Dunn: Thanks, my question is kind of a spin on what Jack just asked in terms of your debt priority. How important is it as you're weighing your credit facility as you're weighing ho-co capital and weighing buyback opportunity as well as your maturity next year. How important is it to get your debt to cap below 20%? It's -- I guess I'm not fully seeing the picture here of where the priority for cash flows over the next year at the ho-co level.
Franklin Hall: Sure. So this is Frank. I would tell you that the debt to cap ration approaching 20% is important for us because we do think that being an investment grade company does provide us with tremendous strategic flexibility so we are very mindful of that and I would say that is a significant priority for us in the overall capital plan and the rest of the uses of capital are as I just responded to with Jack that -- to support the organic business is our highest priority and I think what we have demonstrated is a willingness to be opportunistic about share repurchases, the mechanics of which I've described around the 10b5-1 plan but overall the intent of the plan is that we have utilized thus far, well this plan and the previous plans is really intended to be opportunistic.
Geoffrey Dunn: When we look at your credit facility, it sounds like that's really there as a comfort blanket in the advance of 2.0 or anything like that but to borrow on it for any other initiative would be counter intuitive to your goals of reducing debt to cap.
Franklin Hall: Yes I think that's the right way to think about it Geoff. The credit facility really is intended to be temporary in nature and not to draw down on it for any long-term plan. I mean, that is sort of the nature of credit facilities in general. So yes, I would agree with what you just said.
Operator: And for closing remarks I'd now like to turn the conference over to Rick Thornberry.
Richard Thornberry: Well I appreciate everybody taking the time this morning to join the call and appreciate the questions and also appreciate all of your interest in our company. I think we've had an excellent quarter and I think we've got great momentum going into the remainder of this year and I look forward to seeing and talking to each of you as we go through the year. Have a great day.
Operator: And ladies and gentlemen, that does conclude your conference for today, thank you for your participation and for using the AT&T executive teleconference service. You may now disconnect.